Operator: Hello, and welcome to the Ligand Pharmaceuticals Second Quarter 2019 Earnings Call. All lines have been placed on mute and today's call is being recorded. At the end of today's presentation, we will have a question-and-answer session. [Operator Instructions]. It is now my pleasure to turn today's program over to Todd Pettingill, Senior Director, Corporate Development and Investor Relations. Sir, you may begin.
Todd Pettingill: Welcome to Ligand's second quarter of 2019 financial results and business update conference call. Speaking today for Ligand are John Higgins, CEO; Matt Foehr, COO; and Matt Korenberg, CFO. As a reminder, today's call will contain forward-looking statements within the meaning of federal securities laws. These may include, but are not limited to statements regarding intent, belief, or current expectations of the company and its management regarding its internal and partner programs. These statements involve risks and uncertainties and actual events or results may differ materially from the projections described in today's press release in this conference call. Additional information concerning risk factors and other matters concerning Ligand can be found in Ligand's earnings press release and public periodic filings with the Securities and Exchange Commission, which are available at www.sec.gov. The information in this conference call related to projections or other forward-looking statements represent the company's best judgment based on information available and reviewed by the company as of today, July 30, 2019, and do not necessarily represent the views of any other party. Ligand undertakes no obligation to revise or update any statements to reflect events or circumstances after the date of this conference call. At this time, I'll turn the call over to John Higgins.
John Higgins: Todd, thank you, and welcome to our call. The past few months were defined by progress across many fronts. We signed nine more licensing deals, we closed an acquisition, partners reported several late-stage positive updates, Sage launched ZULRESSO as the latest commercially approved Captisol enabled drug, we posted positive Phase 1 top-line results for our iohexol program, and today, we're reporting solid financial performance for Q2. The business is doing well and we're pleased with our momentum, our financial outlook and the calendar of portfolio events coming up. So Ligand's primary current operating business is supporting partners using our antibody discovery technologies. I want to talk a little bit more about OmniAb. OmniAb is our antibody discovery platform that we built through acquisition and internal investment. Three acquisitions that have cost us about $220 million over the past three-and-a-half years have resulted in what we believe today to be a leading best-in-class technology to discover antibodies. OmniAb is a collective genetically modified animals namely rats, mice, and chickens and an anogen sourcing technology that has helped Ligand assemble a very large portfolio of partnerships with companies of all types private, public, small, and large to help do their research. Now antibody research is one of the largest areas of R&D investment dollars in the pharma and biotech industries today. Antibodies are proven to be an attractive category to research outcomes in commercial success. The data suggests biologic and antibody drugs receive on average higher rates of marketing approval from the FDA than small molecule or chemical-based medicine after a successful Phase 1 trial. Ligand decided in late 2015 we wanted to stage a claim in the burgeoning antibody field. We made our first move by acquiring OMT, followed by Crystal Bioscience, and more recently now Ab Initio. Like any good business operators we set goals for what we believe this business could produce for Ligand and its shareholders and we are very pleased with where we are today and how the business is evolving to serve the industry. Generally investors and analysts are well tuned into the potential of the OmniAb platform but not all of them are. This reminds us of 2011 when we acquired Captisol. Some investors did not understand that business, its potential or how it fit into Ligand. For a few years following that acquisition, investors needed time to learn more about it and see R&D and commercial success. Some wondered where the value was and poked at the business like when we are questioned for doing a license agreement with a newly formed Sage Therapeutics. One investor called and said they did a Google search to find Sage was a wellness spa. The search was misguided but so was the premise that Sage would not amount to anything. Today less than 10 years later, Sage has a market cap of $8 billion and launched its first approved drug last month for a very important PPD market and that drug is based on its initial license with Ligand. No doubt Captisol's highly successful platform acquisition for Ligand, it's an unqualified success. We paid $31 million upfront and about that much more in additional earn-outs over several years to acquire the underlying business. To-date we have generated over $300 million in revenue from the business and we expect sales will continue for another 10 years or more with some of the biggest royalty years still ahead of us. The Captisol deal illustrates a strength of our company. How Ligand identified a category, moved in on a not so obvious acquisition, and then made it a big winner. Today our OmniAb platform is our most valuable long-term platform and is defined by great science, strong and expected long-lived IP, with a broad portfolio of partners, and promising financial potential. We believe OmniAb to be many fold higher than what Captisol has delivered and that investors should take note. Much has been achieved with our OmniAb business since we got into the antibody space about three-and-a-half years ago. At the time the initial acquisition we had 16 companies who had signed license agreements we forecast that we would sign another three to five new deals per year going forward. We gave financial guidance in 2016 that we would do $18 million in the first two years with OmniAb. We did much better locking in $32 million of revenue for the business for those two years 2016 and 2017. Then in 2018, we did $57 million in revenue for the business. We expect by the end of this year, OmniAb will have generated over $114 million of cumulative revenue to the business. Today there are more than 40 companies who have entered into contracts to access OmniAb antibodies. Not all of them has succeeded or advanced but most have and we have over 35 active partnerships today. We provided an outlook when we got into the antibody business in 2016 that we would see the first Phase 1 clinical trial start in 2017. That target was easily met with many more programs in the clinic than initially expected at this time. Earlier in our ownership, we looked at the number of animals that had been ordered annually and the number of antibody research campaigns that had been or were projected to be conducted, then try to extrapolate over time how the business would grow, with the goal to try to estimate how many antibodies could be on the market in 2030. It's a classic exercise of using any data a company can gather to try to assess the business and help investors make their own conclusions about the potential. The business analytics are imperfect but the general trends and use of the platform are clearly positive and going in the right direction. And they portend a business that is building substantial value. The trends for animal use for our OmniAb and OmniChicken is up meaningfully. OmniMouse is used less frequently which is not a surprise if that species is a crowded field. We worked to assess the number of research campaigns. We estimate our 35 plus partners are currently running over 170 discovery campaigns with OmniAb derived antibodies, a significant number, but the quantity of campaigns may not matter as much as the quality of campaigns. Ultimately we are focused on clinical and regulatory success, a drug approval followed by commercial launch. Our business is built around sharing in the success of our partners in the form of our royalties on their net sales. This is a lucrative and successful model that has driven a substantial value increase in Ligand's share price from the time of acquisition of Captisol several years ago. Given everything we know today about our technology, our IP, and partner's investments, we see OmniAb generating substantial annual royalties for Ligand. We strike OmniAb deals with a mix of upfront and annual payments, success based milestones and royalties. We have today over $900 million of total OmniAb potential milestones under contract, and then of course there are the royalties. Most of our contracts have tiered royalties based on sales with a general range we describe as 2% to 6%. A handful of companies have a right to buy down or buy out the royalty for a large one-time payment but that is not typical. And most of that structure is a legacy of deals done prior to the Ligand acquisition of OMT. Besides the addressable market, and other factors in the deal negotiations ultimately determine how we settle out on final royalties. As investors build our models around on OmniAb, we believe the fundamental long-term drivers should be royalty revenue performance. At our Analyst Day in March, a few months ago, we laid out the basic formula for potential annual royalty revenue. So the number of approved drugs it's the average sales level per antibody and the average royalty rate those three factors. In March, we outlined a potential for the estimated number of drugs to be in the market in 2030 as being in the range of potentially 25 to 35. And coming to that estimate, we are factoring in the efficiency and development we are seeing with our partners advancing their programs such as CStone and GenMab, and we were factoring in what appears to be above average success rates given data received from partners so far. But we do not have a crystal ball and we know the inherent uncertainties in drug development. The number of approved antibodies based on Ligand technology could be lower than that in 2030, but we see this as a place to start the dialogue with investors. As for revenue per drug we offered $750 million for average annual revenue. The largest drugs in the market today are antibodies with the top drug selling $5 billion to $10 billion annually and the biggest drug Humira peak at annual sales of about $20 billion. Most are much smaller drugs with more limited sales and targeting smaller markets. So it's a broad range that could evolve in the future with more antibodies in development, but one that can center around average revenue expectations per products just like any industry. We are not dictating what the revenue will be but laying out the facts and information we have about the market to provide a framework for a dialogue with our investors as we assess the revenue potential for our portfolio over the next decade. Big revenue per product will vary by year and time of launch and our information on that will evolve over time. The other key factor to modeling is average royalty rate and that is a function of sales in the applicable royalty tiers we have negotiated. But from a high level, we think an average rate in the 3% to 3.5% range is reasonable. To investors, we can say we are very pleased and proud of the OmniAb business it is performing better than we expected. I made analogies to Captisol earlier as this feels very similar to those early years when the value and revenue potential Captisol was not clear to investors. But internally we felt strongly we were onto something very big with that acquisition and we did our best to frame it for investors so they could track it over time. How well we assess the business going forward? We will keep focusing on annual revenue, new deals signed in attrition and clinical progress. Again the transit generally are very positive. As mentioned not all contracts we have signed are still active. We have seen attrition with some contracts terminated or essentially inactive right now. The number one factor driving terminations or inactive development is M&A. For example we have deals with Stemcentrx and ARMO both have been acquired one by AbbVie, the other Lilly, and in the process the OmniAb contract was not renewed. Celgene is inactive now and with the recent BMS acquisition we anticipate that contract will not be renewed either. Other customers have simply moved on due to funding research constraints or a change in direction like a cage in a net star. But it's a small proportion of our total book of partners and we have been able to keep signing up new partners at a very good cliff. Bear in mind when we report partner numbers those figures are net of attrition. Over the last six months, there is an important evolution in our dashboard given the advancement of our portfolio. Now there are substantial new data points where we are setting new clinical trial starts, number of patients treated in studies, trial data, and considering the time for first products to launch. And the data across all those metrics is promising. There are 29 trials recently completed or ongoing including a 11 Phase 2 or Phase 3 trials. We estimate over 3,500 patients will be enrolled in this current roster of trials. About 12 trials will readout by mid-2020 in just over one year. We believe the first Ligand OmniAb antibody could be in the market by the end of 2021 or 2022. Needless to say these are exciting times and we'll continue to provide the metrics and information we can to assist you in your own analysis. All in all we're pleased with the state of the business, we're confident in our business model, and are very pleased with the progress and value we are establishing with our antibody business and other assets of the company. Now I'll turn over to Matt Korenberg to do a review of our Q2 financial performance.
Matt Korenberg: Thanks, John. I'll begin today with a review of the financials contained in our earnings release issued earlier this morning. Total revenues for the second quarter of 2019 were $25 million and included $6.6 million of royalty revenue, $8.5 million of material sales, and $9.8 million of milestone and license fee revenue, with a strong quarter overall and exemplifies the diversity in our revenue base. With respect to royalties, Kyprolis is the source of our largest current royalty and given that Amgen the marketer of Kyprolis has not yet reported their sales for Q2, we took the Kyprolis royalty as flat to Q1. Any difference between the actual royalty and the royalty we booked will be captured in the Q3 revenue number consistent with the new revenue recognition rules that we adopted last year. On the milestone license fee line, we saw more than double the revenue we recorded a year ago from the normal course contracted milestones. And material sales also had a strong quarter with nice double-digit growth over the prior year period. Total revenue for Q2 of 2018 was $90 million and included $31.4 million of royalty revenue, $7.6 million of material sales, and $51 million of milestone and license fee revenue. Q2 of 2018 included a full quarter of royalty revenue from Promacta which we sold to Royalty Pharma as of March 6 this year for $827 million. Ligand did not receive any Promacta royalties in the second quarter of 2019 and will not receive any Promacta royalties going forward. Milestone and license fee revenue for Q2 2018 included a $47 million payment from WuXi Biologics to amend its OmniAb platform license agreement. Regarding gross margin, our Q2 gross margin for Captisol sales was lower versus the prior year. Our mix of commercial and clinical material sales shifts from quarter-to-quarter and from year-to-year resulting in changes in gross margin. Our material sales cost translated to an overall corporate gross margin of 90% for Q2 of 2019. On the expense side, R&D in Q2 was $12.2 million excluding stock comp and other non-cash charges R&D was $6.3 million. For G&A, our Q2 total was $11 million and excluding stock comp and other non-cash charges G&A was $6.8 million. Taken together total cash operating expenses for the quarter was $13.1 million which was in line with our expectations. GAAP net loss for Q2 of 2019 was $14.4 million or $0.74 per share. In this quarter, the performance of Viking share price and the amortization of the purchase price from our Palvella and Novan investments contributed to the loss. The unrealized loss related to the movement in Viking stock price was $12.4 million. With respect to Palvella, Novan, and any future product investment transactions we conduct, we're required to expense the upfront cash investment over the period in which the funds are spent by our partners. These acquisitions are product economics therefore result in ongoing non-cash R&D expense during the life of the trials that we're funding. In Q2 of 2019, these deals contributed $3.2 million of non-cash R&D expense. For the quarter, we reported adjusted net income of $13.9 million or $0.68 per diluted share compares with adjusted net income of $60.6 million or $2.59 per diluted share for the same period last year. Again last year's Q2 numbers were higher due to the inclusion of Promacta royalties and the large payment from WuXi Biologics to amend their platform license agreement. In Q2 of 2019, we used $61.1 million in operating cash which was largely driven by a $69.7 million tax payment which was principally related to the Promacta sale, and $12 million paid for the Novan transaction. Net of these amounts our operating cash flow for the quarter was $20.6 million. With respect to taxes, a reminder that we now have utilized all of our federal NOLs and tax assets as a result of the sale of Promacta, our earnings and adjusted earnings are already reported as if they were fully taxed and we'll continue to do so. We estimate our tax rate going forward will be 21% to 23%. On the balance sheet, we finished the quarter with $1.3 billion of cash, cash equivalents, and short-term investments after having spent approximately $105 million on share repurchase and taxes, again principally associated with the taxes related to the $827 million sale of Promacta. As we discussed in the past, we intend to use the cash on the balance sheet and the future cash flow from operations for a combination of executing our strategic agenda in returning cash to shareholders. On the strategic front, we're focused on product investments for economic rights and company acquisitions. On the return of capital side, we focus primarily on share repurchases in the past and generally plan to continue that policy into the future. However we're also continually evaluating other uses of capital such as dividends, convertible bonds retirement and more. Our strategic M&A agenda remains focused on identifying acquisitions across areas of interest including platform technology acquisitions, acquisitions that bring us portfolios of partner and biotech assets, and acquisitions of economic rights to development and commercial stage assets. Matt Foehr will provide some updates on our acquisitions of economic rights from our Palvella and Novan transactions. Our acquisition of Ab Initio last week is an example of a smaller technology bolt-on that we expect will further augment licensing interest in our OmniAb technologies. With respect to share repurchases, we've been actively buying back stock under our $350 million share repurchase authorization. As of today, we've spent $273 million under the plan to acquire 2.1 million shares. We began actively purchasing shares in November of 2018, and in the past nine months, we've repurchased over 10% of our outstanding shares. We continue to believe our stock is undervalued at current prices and plan to continue our repurchases. Turning now to financial guidance, we're reiterating our full-year 2019 guidance. For the year, we expect total revenues of approximately $118 million and at $118 million of revenue, we expect adjusted EPS -- adjusted diluted EPS of $3.20. Reaffirming our full-year guidance we are implying about $49 million of revenue for the second half of 2019. We expect in Q3 we will realize about 40% to 45% of the remaining revenue in earnings based on our current outlook for milestone timing and Captisol sales. Finally, just a reminder that our adjusted diluted EPS guidance excludes stock-based compensation expense, non-cash debt-related costs, changes in contingent liabilities including our CVRs, transaction-related amortization expenses, and one-time costs, unrealized gains or losses related to our holdings in public companies common stock, mark-to-market adjustments for amounts owed to licensors, the excess convert shares adjust covered by the bond hedge, and certain other onetime nonrecurring items. With that, I will turn the call over to Matt Foehr to provide some updates on our major commercial and development stage programs. Matt?
Matt Foehr: Thanks, Matt. I'll start off with our OmniAb technology platform. We've noted the increase in clinical investment by our partners who are pursuing development-stage OmniAb-derived antibody. As John described, there are now 29 clinical trials evaluating an OmniAb derived antibody that either have been recently completed or in progress. For active trials there are a total of 16 Phase 1s, eight Phase 2s, and three Phase 3s. 10 novel antibodies are being used in active studies some of which are being pursued by multiple partners in different therapeutic formats or for different indications or geographies. We see this growth in a number of trials as a representation of the commitment of the partners. As a point of reference, on our last earnings call, we referenced about 15 clinical trials related to OmniAb. So this has been a pretty recent increase in clinical work by our partners. Looking at the targeted patient enrollment numbers for the trials that are posted to clintrials.gov can also give an idea of the scope of clinical investment by our OmniAb partners. Adding up the targeted enrollment figures you get a number in excess of 3,500 subjects with more than 1,800 subjects estimated for enrollment in Phase 1 trials, more than 500 estimated in Phase 2s, and more than 1,300 estimated in Phase 3s. The Phase 3 trials are all related to CStone CS1001 program which according to CStone could be China's first fully human and full length anti-PDL1 monoclonal antibody. The vast majority of the trials underway are in oncology and it's worth mentioning again that at the time we closed the OMT acquisition there were no clinical trials of an OmniAb-derived antibody in progress. We continue to invest in the OmniAb platform to keep it on the cutting edge of antibody discovery technologies and to expand our offering for current and future potential partners. At the PEGS meeting in April our scientists launched our newest transgenic chicken platform known as OmniClic which is designed to facilitate the development of biospecific antibodies. OmniClic received substantial attention at PEGS and is already being used in some new partnered programs. Last week's announcement of the Ab Initio acquisition also adds to the technology capabilities adjacent to the OmniAb platform, adding important antigen generation technology to our expertise. We're transferring the Ab Initio operations from South San Francisco to our Emeryville site next month. Generating quality antigens is a key precursor step to antibody discovery and we expect that OmniAb partners will see the value of our newly acquired technology and potentially expand existing partnerships or create new ones based on this capability. And with Ab Initio we picked up an existing agreement with Pfizer that brings over $100 million in potential milestones in tiered mid-single-digit royalties on potential sales. Overall with OmniAb, we continue to add new partners and expand existing relationships. The number of partners with access to OmniAb technology or pursuing an OmniAb derived antibody has increased substantially since the OMT acquisition three-and-a-half years ago. Switching now to a few pipeline programs. As we discussed on our last earnings call, Metavant has been working with FDA to determine a path forward for the glucagon receptor antagonist or a GRA program now known as RVT-1502 in diabetes. Ligand believes that continued development of RVT-1502 for diabetes in the U.S. is highly unlikely based on preclinical and clinical trials now required by FDA for any drug in the GRA class intended for long-term use. Metavant may choose to explore certain other indications or geographies for RVT-1502 and expects to make a decision later this year. As Matt Korenberg briefly mentioned, in May, we announced the transaction with Novan through which we acquired milestone and royalty rights to SB206 which is a topical antiviral gel for the treatment of skin infections. And it's now well into a Phase 3 trial for molluscum contagiosum. Molluscum is a common contagious skin infection affecting about six million people a year in the U.S. with the greatest incidence in children. There are no FDA approved therapies for Molluscum and there's significant unmet need for treatments. Ligand has a tiered royalty of 7% to 10% on the SB206 assets as well as up to $20 million in regulatory and commercial milestones. We've been pleased with Novan's focus and progress on the Phase 3 trial and note that earlier this month they reported that more than half of the patients are enrolled in the Phase 3 and Novan has indicated that top-line results from the Phase 3 are expected no later than early in the first quarter of 2020. Our partner Palvella work on the VALO Phase 2/3 study of PTX-022 remains on track with enrollment ongoing at six leading sites in the U.S. PTX-022 is addressing an orphan disease called pachyonychia congenita or PC. PC is a rare chronically debilitating and lifelong monogenic disease in which mutations of genes responsible for keratin production lead to disregulated keratinocyte proliferation, increased skin fragility, and impaired skin barrier function on the bottoms of the feet. As a result, affected individuals experience difficulty with walking which frequently necessitates the use of either ambulatory aids or alternative forms of mobility such as crawling. We're pleased to see Palvella's focus and progress on the trial. Palvella reports to us that full enrollment of 60 patients' remains on track to be achieved later this year. And we know based on clintrials.gov disclosures that primary results from the study are now expected in Q2 of 2020. Turning now to internal R&D. Earlier this month, we announced positive top-line results from our Phase 1 clinical trial of Captisol-enabled iohexol. Our R&D team here did an excellent job running the trial for this contrast imaging agent on budget and ahead of schedule. We're confident that the data support further development and we will explore potential commercial partnerships for the program as we prepare for the next phase of clinical development in 2020. We expect to present CE iohexol data in detail at medical meetings later this year. And with that, I'll pass the call back over to the operator for questions. Operator?
Operator: Thank you. [Operator Instructions]. And your first question comes from the line of Joe Pantginis with H.C. Wainwright.
Joe Pantginis: Hey guys. Good morning. Thanks for taking the question and thanks for the added details today. First, if you don't mind I want to get a little extra clarity for the GRA program or RVT-1502. So like the nuance I'm getting is that Metavant is trying to see it bringing it forward or they're looking to bring it forward. But you're saying okay maybe we're not going to see development in the U.S. So just want to get some clarity as to where you think it might or might not be going? Thanks a lot.
Matt Foehr: Yes, Joe. Thanks. This is Matt Foehr. Yes, there Metavant is working with the FDA now on a path forward generally when you have dialogue with the FDA like this, you try to get meetings, try to discuss it with the FDA. We've obviously said our view in the U.S. we see it as highly unlikely based on the preclinical and clinical trials that they're going down that we see it as chronic uses is out for the drug and they've told us, they expect to make a decision later this year.
Joe Pantginis: Okay, I understand. Thanks. And then two more questions if you don't mind maybe one for the other, Matt. Seeing a boost in R&D obviously and I want to know if this should be considered a baseline going forward obviously because of your acquisitions and integrating different businesses at this point.
Matt Korenberg: Yes, thanks, Joe. We continue to see our cash expenses for the year around that $50 million to $52 million range that we provided earlier this year. You will see some added non-cash R&D expenses running through as we amortize the upfront prices, purchase prices of the investments we made in the Palvella program and Novan program. As I mentioned this quarter they added about $3 million to the GAAP numbers. So that will be a bit inflated but otherwise R&D budget and cash expenses are still on track.
Joe Pantginis: Great thanks. And then a couple other little ones and one forward-looking. If you don't mind and thanks for indulging me. So I want to talk about maybe a little forward-looking with regard to the Captisol franchise and its longevity. And I'll give a specific example. We've actually been getting some questions on this. So recently I guess several months ago the paragraph 4 filings have started with for Kyprolis ANDAs and obviously with regard to litigation, we'd expect it would take a few years unless you disagree with that to maybe get some clarity on any potential generics coming forward. But with regard to the longevity of Kyprolis, is it safe to assume that a whoever were to file a potential generic for Kyprolis -- for Kyprolis would still need Captisol and you have precedent thus far to show something along those lines.
Matt Foehr: Yes, Joe, I can comment on that. Generally we've seen -- it's not new to see a generic challenger to one of our Captisol Partners. We saw this with the Merck drug a few years ago. And we obviously in that instance Merck was negotiating. There was apparently a settlement. Subsequent to that settlement we received permission from the partner to enter into a Captisol supply contract with the other party that Merck had settled with. Again we don't comment on specific litigation but we feel we've got obviously a great intellectual property portfolio. Partners really do see the value in our drug master file. There's been a lot of investment, millions and millions of dollars over many years, a lot of patient data, a lot of Tox data. But within our drug master file and patients -- our partners see a lot of value in that. And we continue to enter into a new Captisol deals. We disclosed in our announcement this morning new deals with Millennium, Takeda, Bexson Biomedical, Valanbio, couple of other small players. So we continue to add on new Captisol partnerships.
John Higgins: And Joe, I will just add. With the business, I think what you're getting at is as products naturally and expectedly come off patent. If there's a generic field will those other generic entrants require Captisol? We can't say across the board every generic will use Captisol perhaps they get sourced from elsewhere. But today we are seeing that we are the best-in-class Beta-cyclodextrin the quantity we can supply, the quality we can supply, and the consistency for pharmaceutical great products is a requirement. And we are unquestionably the best in the world in meeting that customer need. This analogy that Matt referenced Merck's product NOXAFIL. When a generic entered, they entered a supply agreement with us we're selling not only Captisol but also are getting a royalty on sale to a generic participant. So it's an illustration that what Matt said is correct to find new customers, new IP, new products is a myriad of ways, new Captisol-based products can be pat protected well beyond the IP of Captisol but beyond that we're seeing as markets become genericize over the next five to 10 years, there is a model that suggests that generic participants will also be customers of Ligand as well.
Joe Pantginis: That's very helpful, John. Thank you. And my last one if you don't mind since you talked about the iohexol program and congrats on the recent data. What is the mix right now that you can share with us because Matt you said you're exploring partnerships for the potential next phase in 2020. But again similar to the GRA program, you have the financial leverage to hold onto it a little longer to maybe garner better economics. So I was just curious how you're looking to strike that balance?
John Higgins: Yes, Joe, you're correct we do. Our team is working towards what the next clinical steps would be in 2020 likely a trial that would start in the second half of 2020 but this is a program that's getting attention, people know about it. We expect we'll present data in the last part of this year at upcoming medical meetings; we will present the Phase 1 data. So as we did with what was the Melphalan program that became EVOMELA, with the GRA program, and with other programs where we've done targeted investments for Fosphenytoin, and others, we will continue to make those targeted investments while we assess partnering, the partnering landscape and that's what we're doing here.
Operator: Your next question is from the line of Matt Hewitt with Craig-Hallum Capital.
Matt Hewitt: Good morning. Thank you for taking the questions. First one, given the launch of ZULRESSO in the quarter. And did you factor any revenues or contribution from that in the quarter. And how should we be thinking about that ramping in the second half of the year?
Matt Korenberg: Yes, thanks Matt. It actually launched in the last couple days of the quarter. So there was almost zero revenue that we would have been owed, so very, very little was what in this quarter.
Matt Hewitt: And as far as how should we be thinking about that for the back half of the year. Is there a kind of a range that you'd recommend we incorporate into our models?
Matt Korenberg: Yes. So we obviously had -- we typically look to the consensus research reports from analysts. There's a bit of a range but the consensus that we see is in the low-double-digits $10 million to $20 million or so for the year. And that's kind of what we're factoring in.
Matt Hewitt: Okay great. Thank you. And then what are the items that I guess you didn't touch on here but you did at the Analyst Event CO6 Internal OmniChicken programs that you've worked on. Is it still your expectation to out license those yet this year and maybe how are those early discussions going so far?
Matt Foehr: Yes, thanks Matt. This is Matt Foehr. Yes those programs have been progressing well. And we have binders and packages that are forming for all of them. We have had initial discussions and we'll continue those in the second half of this year and into next year.
Matt Hewitt: Okay great. Thanks. And then the last one is Captisol and I know there was lot of focus on the OmniAb and I really appreciate some of the detail there. Captisol seems to have taken another; they are shifted into maybe the next gear. Given the number of partnerships that you announced here recently the ramp that we're seeing in the Captisol's material sales as you look at some of these new partners are any of those working on drugs that you would consider more high volume type situations or as you look down the road; is there opportunity for another iohexol for example where it's expected to be a very high utilization type drug. Are any of those in the mix with some of these new partnerships? Thank you.
Matt Foehr: Yes, Matt. Yes you're correct. We definitely continue to see partner interest in Captisol as we always say with material sales for Captisol they can be lumpy, right. And that's driven by number of factors, some partners may have a very large Captisol buy to support a Phase 3 trial and then that partner may not need material for a year or so, others have annual cycles for their commercial buys that are linked to their budget planning or linked to perhaps volume tiers that exist within our contract. So there's always an element of lumpiness to Captisol. That said we are seeing new uses for Captisol among our partners. We have a few that are going down an oral route that are in fairly advanced trials and those are fairly heavy users. We have some using in gel caps and some in eye drops, other things. Again a range of uses but as we see the portfolio advance to later stages generally you start to see more use. But again not all partnerships are created equal as you look at amount of material used but in general, yes, we're seeing good interest in the platform.
Matt Hewitt: That's great. Maybe one last one and then I'll hop back into queue, as we think about it. You talked about this a little bit at your Analyst Event, then I think you mentioned it briefly in the prepared remarks but as we start to look out in a couple of years 2021 through 2023 even given some of the puts and takes I mentioned on today's call. But how should we be thinking about that time period from kind of an eye-opener or growth perspective. I mean as I look at some of the upcoming catalysts with Phase 3 trial readouts and potential launches that kind of stuff I mean do you still believe or is it still your expectations that you should see a really healthy step-up or a big step-up in the revenues and obviously the flow through to earnings during that time period? Has anything changed in your mind?
John Higgins: Yes, Matt. It's John. The business today as investors who follow this story it looks different today compared to let's say four or five months ago when we still own Promacta. Again just a little back story we divest that asset as we described in March, a very substantial amount of money, it was our largest asset, a major contributor to royalty revenue and had driven our growth the last few years. What investors I think the question you're getting at what investors need to look at is how the business has been reset financially, the P&L today, the revenues roughly, very roughly about half of what they were a few months ago projected for this year and earnings as well as a function of taking out Promacta. So the revenue earnings is lower. The growth outlook for the rest of the business is unchanged. And this is important because it gives a very robust calendar of OmniAb-related activities. Of course Captisol, we have Viking assets with TR-Beta, we have Fosphenytoin. We have acquired again the Novan and the Palvella synthetic royalties. These are Phase 3 stage drugs that will readout and we believe could launch as early as 2021 or 2022. This is a way to say that the business today is very well-positioned. There's nothing new in terms of what assets we have and the general outlook for the calendar. But the outlook for financial growth is substantially different, substantially higher than it was a few months ago when we still had Promacta. Again we're centered around $3.20 earnings growth. Our view is that revenues will continue to grow in 2020, 2021. We believe we can maintain the same cost structure. We don't have to build manufacturing and run Phase 3 trials or build marketing; those are the high cost endeavor. We are not doing that. So if revenues keep growing on very high margins, we've stay 90% gross margins. We expect gross margins to increase over the next two to six quarters. Operating margins have been about 50% the last quarter, do we expect those to go up to 60% to 70% and if we have a similar cost structure with the share repurchases that we described, the earnings and cash flow per share we believe will be significant, so that's the financial growth outlook. We framed this a bit at the Analyst Day in March following the Promacta divestiture but we still are very much committed to that outlook given what we're looking at right now. The second part of this though is the calendar of events. We have more shots on goal, more partnered assets in development than ever before, and the quality of programs, the quality of partners in the late-stage is the most attractive portfolio we've ever had in the history of the company. We do believe over the next one to three years, we're going to have some major data readouts that could drive significant new product launches not in the next year or two but they can launch in two or three years and bring a new class of royalty drivers in the early to mid 2020 right about the time that we see OmniAb beginning to hit its stride in terms of commercial, the calendar of commercial launches. So it's a business that we're excited about. It's right in line with our outlook and expectations and of course today it's buttressed by a very substantial balance sheet $1.3 billion of cash.
Operator: [Operator Instructions]. Your next question is from the line of Larry Solow with CJS Securities.
Larry Solow: Great, good morning guys. Of course my question have been answered just a couple of follow-ups. On the OmniAb, you mentioned I think there's 27 active trials. And I know all the Phase 3 or with CStone is it still 12 compounds that are or there more in than 12 that are actually making up those?
Matt Foehr: Yes, Larry. Thanks for that. Thanks for the questions it's Matt Foehr. There are 29 trials that have either been very recently completed or are active. For those 29 it depends on exactly how you define it. 10 novel antibodies but used in multiple formats, right. So we have situations where the same discovered antibody is now used in multiple formats or dosages for different geographies and that brings the number up to 13 to 15 depending on how you count those different programs. But that -- I think that summarizes for you.
Larry Solow: Okay yes, that's helpful. And then just it looks like just on share repurchases this quarter looks like if I do the math from I guess from your last conference call looks like you spent about $40 million, is that right?
Matt Korenberg: Yes, I think it's between $35 million and $40 million, that's right.
Larry Solow: Okay. And any -- I know guidance hasn't changed has the composition any change on the sales, team [ph] royalties, milestones any change there. Sounds like Captisol material sales were just coming. I know you have a little bit more of sort of a potential on the license of milestones. Is there any update there? And then on the royalties do you still sort of expect -- has anything changed there?
Matt Korenberg: Yes, so, for the year, we still see the mix roughly the same as we had seen before. But we didn't provide the precise breakdown because we may see some shifts over the back half of the year between some of the buckets. The total is still definitely there at $118 million but if it is any shift, it'll be a million or two going from one bucket to the other for the year. But right now it all still looks generally in line. Obviously no change to the outlook longer-term for any one of the three buckets.
Larry Solow: Okay. On EVOMELA the opportunity in China is that one supposed to be commercialized next year, when is the timeline?
Matt Foehr: Yes, Larry thanks, Matt Foehr. So they got approval at the end of last year and as standard process in China, they get their designation in barcode and they've indicated they will be launching EVOMELA in China this year. And it will be -- as we understand from CASI, the only approved Melphalan product in China. So we're obviously looking forward to that.
Larry Solow: So down in the back half of this year, it sounds like.
Matt Foehr: Yes, yes.
Larry Solow: And then just lastly Kyprolis additional trial data I know you had spoke about that at general phase [ph] that -- since that early 2020 thing or when do we expect something?
Matt Foehr: Yes, Larry generally obviously we'll direct folks to Amgen on updates on exactly when they expect their trials to readout. But generally ASH meeting at the end of the year we've generally seen Kyprolis data at major medical meetings and we generally expect to see that this year as well.
Operator: And there are no further questions at this time. Gentlemen, do you have any closing remarks?
John Higgins: Thank you. We appreciate people's turnout today and we'll be on the road, we've got some conference invitations this fall. We'll keep you posted as the business evolves. Thank you.
Operator: Thank you again for participating in today's conference call. This concludes the conference. You may now disconnect.